Brian Cassin: Hello, everybody, and welcome to our Q3 trading update call. I'm here as usual with Lloyd, who will take you through the trading performance after my opening remarks. So we saw good momentum in Q3, particularly on an underlying basis. Q3 organic revenue growth of 6% was on 8% on an underlying basis, adjusting for data breach, which continues the strong trend that we had in Q2. Total group revenue growth was 8% at constant currency and 6% at actual rates, and our growth rates remain at high single digit, despite the still subdued environment for unsecured credit activity. North America organic revenue growth of 6% was 9% on an ex breach basis. Latin America came in as expected with a solid 8% performance. We had 9% growth in EMEA/Asia Pacific, which is a very good outcome. UK&I growth was 1%, and we saw particular strength in consumer. By segment globally, B2B organic revenue growth was 6%. And Consumer Services, where we now reach over 195 million free members, delivered 5% growth, rising to 15% ex data breach. Touching now on the regional Q3 highlights. We've seen steadily improving trends in North America, which had a strong underlying Q3. Organic revenue growth of 6% was 9%, excluding data breach. B2B growth of 8% is a good outcome. While credit activity is still subdued and fairly variable across different client categories, we saw a stable to slightly positive picture in the CI, DI. Lenders continue to monitor unemployment and delinquencies, and the pace of lending standard tightening has slowed, although there is still a degree of market caution, given higher for longer rate expectations. Ascending clarity continued on very solid trajectories, while mortgage benefited from a short-lived volume pickup in October. Our NeuroID acquisition has had a very good start, and we're seeing encouraging levels of fraud new business pipeline generation. Other parts of the B2B portfolio performed well, especially automotive, and we expect health to be supported by the booking surge from early in the year in the coming quarters. Consumer Services had a very strong quarter. The 2% headline growth number masks a sequential step-up to 14% growth underlying when data breach is excluded. This is a very encouraging performance across the board with continued growth in membership and a big step-up in marketplace. Insurance is scaling well, and the trajectory in credit marketplace improved as a return to growth. Core Partner Solutions also performed well after a strong run of new business wins. We continue on our path to reinvent premium offers with enhanced subscription cancellation experience. We also have new client on-boards into Experian Activate. We expand and expanded our insurance offers, and these are just some of the examples of growth investments we're making to sustain our growth and to secure new opportunities. Trends in Latin America were similar to those we referenced in November. We delivered high single-digit organic revenue growth, in line with our expectations at 8%. B2B growth was 4%. And Consumer Services again came in very strong at 22%. In B2B, we're benefiting from the balance in our portfolio, our comprehensive product suite and growing contributions from our growth initiatives. Q3 saw further progress across B2B software and SME, which compensated for more cautious approaches to lending within the banking sector linked to Brazilian fiscal picture. We had a great quarter in Consumer Services, reflecting the multiple avenues we have for growth. Q3 was another strong quarter for free membership acquisition, engagement trends, and our annual Limpa Nome fair was very successful, achieving record debt settlements. We now have a full pipeline of new feature introductions planned over the coming few quarters, which will add and build on these foundations. UK&I delivered organic revenue growth of 1%. While B2B was down 1%, Consumer Services delivered a very encouraging performance and was up 10%. We're making good strategic progress in B2D with new Ascend signings and several clients testing the platform and new modules planned for next year. U.K. economy, however, is facing into a range of challenges, which are causing our clients to adapt to and which weighed on activity levels. U.K. Consumer Services has made excellent progress, delivering organic revenue growth of 10%. New features have been well received by our membership base, leading to higher app downloads, strong engagements and a good performance in subscription products. The growing adoption of Experian Activate that we talked about in November also had a marked effect, helping to elevate pre-credit approval rates on our marketplace in an environment where demand for credit is somewhat soft. EMEA/Asia Pacific has been a consistent performer, and organic growth was again at the high single-digit level we aspire to, up 9%. Growth was broad-based across our markets, including in Australia, New Zealand, Southeast Asia, India, Italy and Turkey. And we're pleased with the progress that we're making with the integration of illion. So with that, I'll now hand it over to Lloyd.
Lloyd Pitchford: Thanks, Brian. Morning, everyone. As you've seen, we delivered good growth for Q3 with organic revenue growth of 6%. And excluding the data breach business, we delivered strong underlying growth of 8% globally and 9% in North America, in line with the performance in Q2. We saw good growth in the U.S. Bureaux and strong growth in North American Consumer Services outside data breach. Latin America delivered consistent growth with continued strength in Consumer Services. Acquisitions added 2% to growth, and exchange rates were 2% headwinds following the depreciation of the Brazilian real, meaning the total revenue at actual exchange rates grew by 6%. Organically, B2B revenue grew by 6%, whilst B2C grew 5%. And you'll remember back in November, we shared the view of global Consumer Services growth, excluding the data breach business. And this showed that the segment improved from 8% growth in Q1 to 11% in Q2. And in Q3, this strengthened further to 15% with broad-based momentum across both membership and marketplace. Turning to the performance by region, beginning with North America, where we delivered strong organic revenue growth of 6% with 8% in B2B and 2% in Consumer Services. Within B2B, the Bureaux, excluding mortgage profiles, grew 6% in the quarter, consistent with the performance in Q2. Credit conditions have remained stable to slightly improving, as we saw in Q2. Clarity had another strong quarter, growing double digit, reflecting the strength of our offerings and market growth in the short-term lending environment. Mortgage profile revenue grew 71% and another quarter of modest volume growth and the difference coming from the FICO price increase. And this takes total organic Bureaux growth to 11%, in line with Q2. Elsewhere in data, automotive had a good quarter, growing 8%, following good growth in credit volumes, and Targeting delivered a growth of 4%. Decisioning grew 4% organically. The Health business grew 5%, and the pipeline in Health continues to progress very well, and we expect a strong end to the year. And the remainder of Decision grew 2%. In Consumer Services, where growth excluding data breach strengthened further to 14%, premium subscription delivered high single-digit growth, as the enhanced proposition and financial health marketing message -- messaging helped acquire and retain more consumers. Marketplace grew well, following the continued strength in our insurance proposition and a good quarter in personal loans, as well as an improved position in credit cards within the credit marketplace. Data breach returned to normal ongoing levels from the exceptional high of last year. And as a reminder, we expect this to fully normalize in Q2 FY '26. Moving on to Latin America, which grew 8% organically, B2B grew 4% and Consumer Services delivered 22% growth. In B2B, growth improved slightly compared to Q2. We saw continued growth in our software platform offerings and growth in new verticals. The macroeconomic climate continued to weigh on credit activity, and trends were overall consistent with Q2. Consumer Services had another strong quarter, growth of 22%. We saw growth across all products with very strong performance in our payments platform, which grew 27%. Limpa Nome grew double digits in Q3, which is the quarter we hold our annual Limpa Nome credit fair. And turning to the UK&I, which grew 1% organically, B2B was 1% lower, with the Bureaux in line with the prior year as we continue to see subdued credit market and increasing macroeconomic uncertainty. Consumer Services delivered double-digit organic revenue growth of 10% with strong growth in our marketplace business. And in EMEA/Asia Pacific, we grew 9%, with good progress across most markets and strong software performance in Australia. And finally, our near-term expectations for the full year are unchanged from those that we discussed in November. And with that, I'll hand you back to Brian.
Brian Cassin: So thanks, Lloyd. And so in summary, we delivered another good quarter of growth in Q3. Underlying trends in our largest markets are positive. And strategically, we are executing well. We're on track to deliver the guidance for the full year that we previously set out, namely organic revenue growth of between 6% to 8% and margin expansion at the upper end of our 30 to 50 basis points range. So with that, I'll open up the line for questions. So back to you, operator.
Operator: [Operator Instructions] And your first question will come from Ryan Flight from Jefferies.
Ryan Flight: Ryan Flight from Jefferies here. Three questions from me, if I may. The first on North America B2C, so credit marketplace, you've noted a couple of new partners, but I wondered if you could give us some more color on the appetite of lenders on the platform there. The second also on North America B2C. I wonder if you could kind of take a step back here and help me understand the data breach services and what drives it. Are we just talking about kind of one big contract this time last year? Any market trends that we should be aware of there? The then the third on LatAm B2B, you've obviously seen an improvement on Q2, but could you just give us a bit more of a breakdown there? And is there any kind of sector or segment trends to know and how we really think about this going into Q4?
Brian Cassin: Yes. Great. So we'll dive into the detail on that in a second. I guess, the first point I should make really as we look at the results across Q3, and I think it's sort of neatly encapsulated by those D2C numbers, when you adjust for the data breach numbers, actually, the underlying performance of the business is really quite strong. So 8% organic across piece. Inevitably, you always get some puts and takes quarter-on-quarter, but I think we're pleased with the continued momentum that we've seen. I think the momentum we've seen in D2C is actually really, really good. Again, you look at the headline number, particularly North American actually comes in quite low. But when you look at the performance of subscription business, when you look at the performance of the insurance business and the credit marketplace business, we've seen broad-based improvement year-on-year and sequentially. So that's a very strong performance. On the data breach business itself, it's something which -- we have an ongoing data breach business, which gets reported in our Consumer Services segment. The last year was a particularly active year for data breach. There was an usual number of them, and we obviously picked up quite a bit of that business. It's very lumpy. We -- every year, we get a -- we see data breach business. So there's an element which is sort of naturally continuing. But you get these spikes from time to time. It's almost impossible to predict it. We did feel coming into -- I think we were very explicit about this, as we came into FY '25 that we thought that level of activity wouldn't repeat. So we're lapping some of that now, and that's what's sort of working its way out of the numbers here. And I think we talked a little bit about that at H1 as well. In terms of some of the sort of underlying breakdowns, Lloyd, do you want to take up those?
Lloyd Pitchford: Yes, sure. So maybe I'll start with marketplace in North America. So the insurance marketplace had a really strong quarter. That more than doubled again in the quarter. And we're on track to exit this year on an annualized run rate of about $100 million on insurance marketplace, which I think we're really pleased with the progress there. It's obviously a big TAM for us to attack with the insurance marketplace. The credit marketplace was double-digit growth in the quarter. That's the first quarter back into good growth. And within that, very strong growth on loans and a stable position on credit cards where credit cards previously have been declining. So I think some early signs of origination activity there, which I think bodes well as we look out into next year and we think about the position of the B2B business. But -- so good, good progress there overall. As Brian said on data breach, we put a slide in our half year results that showed really the peak of activity last year was in Q3. And it moderates a bit and then drops out completely back to more normalized levels from Q2 next year. And then Ryan, I think your last question was on the B2B trends. I think we're about where we thought we would be. B2B was just a little bit stronger in Q3 than Q2. Consumer is a very strong number. Anyway, it moves around a little bit quarter to quarter. I would say the overall sentiment continues to be a bit weak in B2B. We obviously hit some easier comps as we get into next year. But we're going to have to see how the fiscal situation plays out in Brazil to really be able to firm back to the higher levels that we saw over the last year or so.
Operator: Your next question comes from the line of Suhasini Varanasi from Goldman Sachs.
Suhasini Varanasi: I had two, please. One, I think in your prepared remarks, you talked about Health benefiting from a bookings surge in the coming quarters. Just want to make sure I understand that comment and how we should think about growth evolving over the next 2, 3 quarters. Second one on data breach, I think one of your competitors did see some benefit from contract wins. Are you worried about any market share shifts at this point in time?
Brian Cassin: Maybe Lloyd will come back on the Health booking surge. On data breach, no, we're not, I think, worried about market share shifts. We will always win a natural portion of business in that. And it's -- frankly, it's not the highest quality business in our portfolio, so I think we're very comfortable where we are on that. Do you want to...
Lloyd Pitchford: Yes. So the comment really on Health is we've had very good progress with our sales pipeline this year. So I think we expect to finish the year quite strongly in Q4 on Health. So that's really the comment there, Suhasini, which I think again progresses as well into next year. The Health business has been a really consistent grow, very high margins for us with a lot of opportunity for growth in the coming years. So we feel positive as we exit this year in Health.
Operator: Your next question comes from the line of Andrew Ripper from Liberum.
Andrew Ripper: Well done on the quarter. Just wanted to ask about regulation in the U.S. There was a CFPB press release last week announcing a lawsuit. Is that something that we should be concerned about? Or is it part of the ongoing sort of engagement that you have with the CFPB? Can you make a comment on that?
Brian Cassin: Yes. Sure. Andrew. Well, the CFPB is issuing a press release every day. If you're looking at that, they've gone into a very active mode. And I think you can all draw on conclusions in terms of why that is at this particular point in time. The straight point about the lawsuit is that we're not worried about it at all. We don't think it has any merit. And I think we put out a very robust response to that last week, which I'm not going to add to. But I think there's not much more really on that. I think as we look more broadly at regulation in the U.S. we have had -- as you can see from the various announcements that have happened not just in the last couple of weeks, but also over the last number of years, the CFPB has taken a very active stance. And indeed, there has been a very active regulatory stance over the last few years of the administration. We know that's going to change in -- a lot of things will change with the new administration. We don't know how that will change. Obviously, we have to see who the personnel are and what the stance is. But I would make, I think, one overall point, which is that, actually, when you look at the sum total of all of that activity, it hasn't really had a very significant impact on the business. There haven't really been any fundamental changes going through. We've made some changes we've gone through in terms of things like some of the medical debt and some processes and so on. But it's all been manageable and actually mostly been constructive, notwithstanding some of the occasional headlines that come out. So I think we look forward to a good constructive working relationship. And if the starting sort of outline, as we believe, then we think it's going to be a less sort of -- I suppose, less active regulatory landscape going forward.
Andrew Ripper: And then one for Lloyd. Lloyd, obviously, the full year guidance unchanged on organic is very clear. Just thinking about Q4 ex-North American breach distortion, are you expecting something in -- around 7% organic for Q4?
Lloyd Pitchford: Yes. I think if you look at the slide we put up in the half year, you can see that the breach drag moderates a bit in Q4. So sitting here today, I think middle of the range, 7%, 8% ex breach, so maintaining about 8%, which I think is a good anchor as we exit this year and go into next year. And we've talked about, I think, a bit this year to be at that level despite fairly subdued lending environment, I think, shows the strength of the portfolio and particularly the strength of the strategic progress we've made in the Consumer business into next year. We've made some progress on M&A this year, which, on top of the organic next year, will add about 3%. There'll probably be a 1% to 2% FX drag partially offsetting that. But you can see the building blocks of the exit this year into next year there, I think, in those numbers, Andrew.
Operator: And your next question comes from the line of Kelsey Zhu from Autonomous.
Kelsey Zhu: I have three questions. So the first one, from your conversations with lenders in the U.S., are you seeing any early signs of recovery in credit supply that you want to highlight here after the last 2 years of cautiousness? Or do you view that things will most likely stay at the current level without any significant changes to rates? And the second question is on Verification Services. So you've recently announced a new API integration with UKG, which is a payroll provider with an exclusive relationship with Equifax. So I was just wondering if you can talk a little bit more about the opportunities to expand records in the U.S.? Do you see the biggest opportunity being with payroll providers or employers? And where do you envision total record count can be in the medium term? And the last question, which is on insurance marketplace in the U.S. I think you mentioned that you're exiting the year at $100 million run rate. Could you just talk a little bit more about your expectations for '26 and '27?
Brian Cassin: Yes. Thanks, Kelsey. I think on the first one, the credit supply, I don't think we've seen really any change. We only talked to you in November, so it's not that long ago. So underlying market conditions haven't really changed that much. What we have seen is, as you are all aware, a little bit of volatility in interest rate expectations, which I think does have an impact on people in the short term. But I think also it hasn't had any fundamental impact. But I think it just sort of means that what we laid out in November, which is a sort of cautious approach coming back, I think, still is the sort of watch word. Having said all that, I'd say we have seen in the U.S. conditions being stable to moderately improved over that period. So that's, I think, a good sign. I think on the final -- the sort of third question on the insurance marketplace, I think what we're seeing really is really great success actually with the partnerships that we've announced over the last 18 months. And they -- those carriers are seeing that the marketplace itself is turning in to be an incredibly effective customer acquisition channel and very profitable for them. So we're seeing them dedicate more volume to the platform and also extended conversations with -- to expand into additional product lines. So I think that's very positive. Was there a question about the outlook for the following year?
Lloyd Pitchford: Yes. So we'll obviously guide overall in May for next year. But I think, as we've said, we're progressing into what is quite a large addressable market in terms of insurance. Overall, the insurance industry in North America spends $11 billion, $12 billion in acquiring new customers. And we think there's a really good opportunity for us. And the data and the services and the relationship with consumers, we have to help and assist in that. So it's early days, but really good progress.
Brian Cassin: Yes. And then coming back to your question on Verification, we don't comment on individual contracts. I think your underlying question is what's really the strategy in terms of record count. I think we talked a little bit about where the record count had gotten to at the half year, and there was a decent pickup in that. We'll update again on that as we go to the year-end. Strategy remains the same, which is that we continue to push our Employer Services business and build individual unique records of that. And we'll look to partner really across as many places as we can to try and continue moving that forward.
Operator: Your next question comes from the line of Sylvia Barker from JPMorgan.
Sylvia Barker: Three for me, please. Just coming back to the credit marketplace. It's interesting that loans are now up very strongly. Credit cards are stabilizing. Could you comment on maybe the customer mix in that? Is that still driven by kind of the larger lenders? Is there any trend that you can highlight? And how much is driven maybe by your own actions and activate versus the market? Secondly, on the U.K., I guess, the data post budget is getting a bit worse on hiring and companies are trying to offset some of the additional costs. So how do you think about where that can go? And could it get a bit worse over the next couple of quarters? And then finally, on the 3% contribution from M&A for full year '26, could Lloyd maybe just comment around the margin impact from that and if that has any mix impact on the group?
Brian Cassin: Yes. On the credit marketplace, it's been a consistent feature this year that loans have been stronger than credit cards. I think what we saw in Q3 was continued growth in personal loans and stabilization to improvement in cards. I don't think there's any change in the mix. I think -- we've done, I think, very well in terms of our panel, in terms of the representation that we have on our platform with a really broad-based of lenders. And I think these sort of markets where supply, to want a better description, is sort of somewhat constrained because now everybody is sort of moving forward very aggressively. You just need to make sure that your panel is as broad as possible, so that those that are in the market and willing to acquire customers are actually making those products available on your platform. We've done a great job on that. And I think, again, we keep referring to the Activate platform as being a really key component on that. And the reason for that is because it just becomes a very effective tool for them to acquire customers efficiently. They can sell the offers very specifically, and their customer acquisition becomes a very efficient part of that. So that's all part of the strategy to help us continue to build out that business. And I think you continue to see that work very well. I think on the U.K., we -- no surprise to all of you. Most of you are based in the U.K. The mid music since the budget has been fairly negative, and we have seen a lot of cost come into the system, particularly with companies who have very large employee bases. And that would include some of our biggest clients in the financial services sector. So they have to work hard as all businesses do to try and recover that cost. Much of that will be going through their payroll line. So we are seeing some caution from in there. It's made new business wins a bit harder to get across the line as they realign budgets. So that's been probably the one area, I think, since Q3, which has changed, which is that, that looks a bit more challenging as we go into FY '25. Now having said all of that, much of what we hope to achieve in -- sorry, not FY '25, but calendar year '25, really comes in some of the new business areas. And we've made, I think, some fantastic progress around that. We mentioned Ascend, which is heavily in POC across the market. We expect some of those contracts will really start to kick in, in calendar year '25. And the same is true with the initiative across Verification. So there's a lot of self-help, I think, as we move the business forward, but the underlying environment is tough.
Lloyd Pitchford: And then, Sylvia, on M&A. So just to clarify, at the half year, we showed the slide that had the contribution from M&A. Since then, we've acquired Audigent in the marketing services business in North America. And yesterday, the EGM on the ClearSale acquisition in Brazil cleared. So we're expecting that to come into the group probably around April time. So you add all of that together, we think is about 3% contribution from inorganic next year over and above this year. When we've announced each of the acquisitions, we've given a sense of our time line to get the EBITDA margins up to group average. So a couple of years, I think, on average. So first year, there's a little bit of a headwind usually from acquisitions, but that's all set against the context of good underlying margin progression for the group as a whole, which you can see that we're delivering on the top end this year of the framework that we outlined. So we'll guide a bit more to that in May.
Operator: [Operator Instructions] And your next question comes from the line of Andrew Grobler from BNP Paribas.
Andrew Grobler: Just one last from me, if I may. Mortgage in the U.S., clearly very strong. Could you just talk through the kind of split between the volume and price within the quarter? And also given that the rate environment in the States, what your expectations are for this current quarter and for the rest of calendar '25?
Lloyd Pitchford: Yes. So I think I said in my remarks, overall mortgage profile revenue growth was 71% in the quarter. That was up from 56% in Q2. The vast majority of that is price, so modest volume growth. And given the uptick that we've seen in interest rates over the last 6 weeks or so, I think we're not expecting really volume to add a lot through Q4 and into next year. I think we need to see a sustained reduction in rates to see volume contribute, obviously, a good contribution there from price, which we think continues through the foreseeable future.
Operator: Your next question comes from the line of Simon Clinch from Redburn Atlantic.
Simon Clinch: I've got about three questions here. First of all, I just wanted to talk about the 8% kind of underlying growth that you're delivering in this pretty uninspiring environment. I mean if -- could you talk about the puts and takes? If this environment just doesn't change, how easily can you sustain that kind of 8% growth rate in that environment? And what are the kind of downside risks given the uncertainties that we're seeing? Number two, I'm interested in the progress you're making on the Verification business, particularly on the consumer permission side and how innovation is progressing there to actually remove that friction from the lending process for you guys. And then finally, just on breach revenues. I know breach revenues are very lumpy, but there's some element where you get a sort of flow on benefit or growth as you convert perhaps more consumers to subscription revenues or other sort of services in consumer. I was wondering how we think about that and the margin potential from that as well.
Brian Cassin: Yes. Well, thank you. Good set of questions there. I guess, we'll deal with them together. I'll go on the first one. Uninspiring environment, your words, it's probably a good description. But I think if you look at the growth of the business over not just this calendar year '24, but also '23, we really had a variety of different things happen across all of our territories in all of our businesses. And actually, the business has sustained high single-digit growth throughout that. I think that's structural. It reflects positions that we have across a broad portfolio. So all things being equal, we don't see really any change to that outlook. I think we can continue to move in that direction. We're all would be much happier in a stronger credit environment, of course. But I think we're sort of making our own luck from that perspective. So I don't really see any change from that. Inevitably, quarter-on-quarter, you're going to have some puts and takes, but the overall trend, I think, remains the same. I think on the breach revenue question, your question, I think, is there knock-on benefits in terms of the subscription revenues of people converting into membership relationships, I think you have -- I think that's where you're going.
Simon Clinch: Yes. Yes, that's right.
Brian Cassin: A little bit, I think, is the answer. But the truth is that our subscription businesses is doing really well and it's largely doing really well, not dependent upon breach activity. And we're getting -- we actually get a lot of people that sign up to our products because there have been breaches elsewhere, and that's not part of a sort of data breach relationship. So we benefit a little bit, even though -- even if we haven't won that breach contract, if that makes sense. And I think overall, that subscription business has improved very significantly over the last few years, and we put a lot of investments and value into it. And I think it's -- we're seeing the benefit from that in terms of continued growth and also longevity in terms of member relationships. So it's a good prognosis there, I think. And then on Verification, do you want to take that?
Lloyd Pitchford: Yes. So I think we're making, as you see, really, really good progress with the Verification business. We continue to grind out record counts. We're building a good position, a leading position in the U.K., where the model is a bit different, more focused on consumer permission. We haven't really in the U.S. pulled the lever around consumer permission yet. We're still focusing very much on growing the database for the instant hit. But we always have -- given the very large direct-to-consumer business we have, we always have the potential to develop consumer permission through those relationships, which I think is a good sign that we have a lot of different tools in the bag to get records up. So we're very confident about our continued strategy and our ability to grow that Verification business. Just back on your first question on sustainability and the 8%, I think the thing I'd highlight is the breadth and diversification of the portfolio. So if you look at the core credit business in North America over the last year or so, $1.7-ish billion annual run rate, well, you add our Health business, which isn't really a credit business, our auto business, which majority of that isn't credit, and our marketing services business together, we're leaving this year at about $1.4 billion of annual run rate. So you can see, it's -- we've got a very diverse portfolio now, and that builds on top of the Consumer business, which you've seen is super resilient at all points in the credit cycle. So I think we feel good about the overall resilience of the portfolio. And I think you've seen that in the numbers that we've reported.
Operator: Your next question comes from the line of Arthur Truslove from Citi.
Arthur Truslove: Just a couple for me. I guess, first question was just following Andy's question on mortgage. What sort of level of pricing are you expecting to sort of be driven by what FICO are doing? So what sort of level of pricing are you expecting in calendar '25? And historically, I remember your strategy was to maintain gross margin in terms of that. Is that still what you're doing? And then second question just on the insurance side and just thinking a little bit more about the midterm opportunity. My understanding is that if you take the credit marketplace, it's about 20% of the U.S. Consumer business. My question really was, do you think insurance is comparable to that in terms of opportunity? Or do you think it can exceed it? And what sort of time scale do you think it might be before you get to that sort of level?
Lloyd Pitchford: Maybe to start with the marketplace. So if you look at where we're exiting this year, overall run rate in marketplace is about $400 million a year, of which about $100 million is insurance. So you can see where the credit marketplace led, we're following with the insurance marketplace. And both are big addressable markets. Our job is to innovate into there and provide something compelling for our customers that is the best, most effective way of acquiring new customers. We think we have unique data assets and unique relationships with consumers to help with that. So we're very optimistic, as you've heard about the potential for the Consumer business. And I think we've only really just started to explore the potential value of these direct-to-consumer relationships, which goes back to the comments in Simon's question about verifications, where we haven't even started to look at consumer contributed data and permission around payroll yet. On pricing, yes, we'll talk, I think, in May about the outlook overall for growth for the group. FICO put through a new pricing starting calendar year, which is another robust growth. And obviously, we deal with our clients on an individual basis as we look to pass that cost on.
Operator: We will now take our final question for today, and our final question comes from the line of James Rose from Barclays.
James Rose: I've got two, please. Firstly, can we go back to the North America consumer premium membership business, please? The step-up in growth you've seen there, can we try and unpack the sort of sequential improvement? Is there any particular products that have done well? Is it conversion for free members and more people engaging with multiple products, those sort of things? And then secondly, in Brazil, I was wondering how you would sort of categorize or describe the current credit cycle we're in on the ground. And is it something you think has the potential to deteriorate from here or be a relatively prolonged one?
Lloyd Pitchford: Yes, I'll start on consumer. So we've been filling the membership product with more value over the last year or 18 months. And I think you're starting to see the effects of that. So we moved up from mid-single digit to high single-digit growth, which is really on the back of a better customer acquisition and lower churn. To Brian's comments earlier, we've certainly seen some of that be ambient interest in breach, so people coming to identity protection services in there. We've created a lot of marketing messages around financial health and as we've broadened the product set, which have really resonated with the consumers. So we look -- if you look back, we've seen, I think, fairly consistent growth in that membership product. It's often a little bit countercyclical, but overall grow -- growing in each period. So -- and we're going to continue to fill that with value, which I think is positive. And Brazil, Brian, do you want to cover?
Brian Cassin: Yes. I think we spoke a lot about that actually in the H1 call in November, and nothing has really changed from that perspective. And the banks in Brazil are actually in pretty good shape. What's concerning people a little bit is the fiscal situation and interest rates obviously moved up, inflation is a bit higher and currently has taken quite a hit largely in the back of worries about the government's fiscal program. So there's a lot sort of play out there in terms of what's happening in the underlying economy, and what we're seeing is just a cautious approach to that. I think that continues. I think we expected that to continue for the rest of this financial year and probably a little bit into early next year. But I think that's sort of baked into our expectations about where our Brazil business can land during the course of calendar '25. So we don't really see a short-term change to that, but I'm not sure we see any deterioration either.
Operator: I will now hand the call back to Brian for closing remarks.
Brian Cassin: Great. Okay. Well, thank you, everybody, for joining today, and thanks for all the questions. Hope you all have a good day, and we look forward to speaking to you again in May for our full year results. Thank you very much.